Markus Schürch: Well, good morning, everyone, and a warm welcome from my side. It's a great pleasure that we can have this earnings call this Monday morning. I'm here together with Annabelle Lehner. She will later on moderate the question and answer. Before we start, a couple of logistics remarks. [Operator Instructions]. Without any further ado, let's go into the main content of today. So -- I think it's not switching. So we'll start with a short overview of the first half year, then we will go into the business highlights and start with the financial overview and then have a brief view into the outlook before we will hand over to the question and answer. So the first half year of 2025 was extremely successful. We had a very strong net sales growth of 21% in local currency or almost 19% in Swiss francs in our reporting currency to an overall amount of CHF 562 million. That's ahead of the 5-year average. Especially strong was the Americas with sales growth of more than 30% in local currency. That's also very much supported by the favorable overall business, but obviously also by the strong data center business. From an operating point of view, also the strong growth led to a strong increase of our EBIT performance. So we had an EBIT of CHF 128 million. That corresponds to an EBIT margin of 22.8%. So that's despite some headwinds from the FX development. And there, the main driver is obviously the operational leverage we enjoyed in the first half year. Also from a free cash flow point of view, very successful at very strong operational cash flow and then some elevated CapEx requirements due to our capacity expansion program. We'll come to that. In a more broader part, we see a further acceleration of our Control Valve business that was contributing with 23% growth. That just shows the importance of this important business line and the increasing presence and market share we are gaining on the Control Valve business. Overall, we had a very strong performance across all regions. So all regions contributed significantly to the strong results, and we had the strong contribution from the data center and the renovation market. If you look a bit broader into what happened in the first half year, obviously, the main highlights of the first half year was the celebration of the 50th anniversary of our company. So we are now around for 50 years, and that was the reason for various festivities -- activities and the strong presence we enjoyed in the market. From a more broad perspective, what happened in the first half year, obviously, the discussion around tariffs were very important in the -- especially at the beginning of the second quarter. So there are a lot of uncertainty from the U.S. tariffs, how that will impact the market. So far, very minimum setup or impact to our business. So we're able to deal with the tariffs. We see a very strong demand in the Americas and in Asia Pacific and also some early signs of a European recovery with a strong boost also there from the OEM business that are supporting the EMEA business. And then across all regions, we see a high growth in the data center business, and that is positioning a significant support of our business, mainly there from the liquid cooling and there from the cold plate technology. Internally, we -- based on the strong sales growth, we are accelerating our capacity expansion programs and investing in all our major sites to increase the capacity and cope there with the volume growth. We're also very proud that we were able to rank seventh among European's top employers and have been selected as a top company to work for, and that's obviously very important for us also to attract new talent and there to be able to cope and increase there also our workforce. So also that shows how attractive BELIMO is as an employer, and that is helping us going forward. And also, we made a significant step forward in our long-term succession planning. We're able to announce Sarah Bencic as the new Head of Americas. So there also, we have got a very long-term approach to the succession planning and are able there also to secure the success for the long run. I've mentioned, we were able to celebrate our 50th anniversary. We celebrated that during several trade shows. We had customer events. We have events with our partners. We also had a great exhibition here at the main location in Hinwil and more than 2,000 visitors joined this exhibition with overwhelming positive feedback. I think many of the participants in the call had the opportunity to join this exhibition. Now very important in the first half year was obviously the data center business. Just looking how it looks inside the data center, you see there's a lot of orange that is required to cool the data centers down. We can see that on the top left side with the air-based cooling. So a lot of air-based actuators are required, or then when we come to liquid cooling, a lot of actuators and valves are required to secure the flow of liquid towards the server racks. Why is that so important? That is in conjunction with the significant higher heat density that is happening in high-performance data centers. That means that the heat that is produced per rack is constantly increasing, and that requires new cooling technology. And there, especially the changeover from a purely air-based cooling to a liquid-based cooling, be it rear door cooling or then cold plate cooling, is showing and giving a big business opportunity for BELIMO, where we can sell our Control Valves and Sensors into data centers. Now how does that reflect to our business opportunity? The most important driver there is the installed capacity of the newly-installed capacity. And the way to think about the market in our view is to look at the installed capacity in a way of electrical capacity, so in megawatts or gigawatts that are being installed because all the electric power that goes inside the data center needs to be removed as heat later on at the other end of the data center. And that's where our technology is in there. And there's a good correlation about every gigawatt of additional installed capacity provides a market of about CHF 40 million to CHF 60 million of our products. CHF 40 million more for the air-based solutions. So when the heat is removed with air and CHF 60 million plus more when we go into the liquid cooling. And on top of that, there's an increasing opportunity for retrofitting data center, be it that data centers are upgraded from an air-based into a liquid-based, or also that all the data centers are upgraded. Those data centers needs to be renewed after about 5 to 7 years as the technology is becoming old and then require new installation. If you look how that constitutes our business. So here, we can see always the half year turnover starting with the first half year 2024 and 2024 second half year as a pro forma and then the first half year of this year. So you can see that the share of data center is increasing from about 10% to 11% in the first half year of the last year to about 16% in the first half year of '25. That's significantly different across the different region. So the lowest share of data center turnover is in EMEA, where the deployment of new data center is still relatively small. And we have got much higher figures in the Americas or Asia Pacific, where the data center share is about 20% and more. Now also, if we look at the data center growth, we can see that compared to the first half year in 2024, data center is growing about 60%, a bit more. And compared to the first -- second half year of '24, it's more than [ 30% ] growth. So a significant share is coming -- of the growth is coming from data center. As mentioned, we are a high-growing company, and that's also the reason why we need new capacity. We were able to inaugurate our new capacity expansion, new building in Shanghai in China in the early stage of the first quarter. There's a picture of the building looks very modern with a solar facade. That's also from an ecological point of view, a high-end building and is also ranked [ LEED ] Platinum and the highest standards on the Chinese part. We were also able to finish the raw shell construction of our capacity expansion here in Switzerland, and the building will be ready to put into operation in summer next year, and we're making good progress there. At the moment, we're in the planning phase of the expansion project also in our U.S.-based in both our sites in Danbury, Connecticut and in Sparks, Nevada, where we will also increase the capacity and are starting now there with the expansion projects. So that's in a nutshell, what were the key business highlights in the first half year. And we will go now into more details on the financials. We've mentioned a very strong sales performance with CHF 561.5 million of net sales turnover, a sales growth of 18.6% in Swiss francs or 20.6% in local currency. From a regional breakdown, the Americas were 50% of turnover in the first half year, about 40% coming from EMEA and 12% from Asia Pacific. Also looking at the breakdown by business line. So Control Valve now with 50% business; the majority and the most important business line, 45% Damper Actuator; and 5% Sensors and Meters, our youngest business line, significantly gaining traction over the past couple of years. If you look at the composition of our growth, so we can see that about 18% is driving from volume and mix. So the majority is volume and mix, with a price contribution of 2.3% in the first half year, a little bit of others giving us this 20.6% and then an adverse FX effect of 2%, so probably only 2%. Now we know the dollar significantly devaluated, especially in the second quarter, while in the first quarter, that was still relatively strong, which gives us then the reported sales of 18.6%. If you look a bit closer into the various regions, we can see here EMEA with about 10% growth contribution. So really a stellar performance there given the economic conditions that we're in there. We can see there we've outperformed the commercial construction sector in all our key markets. And what we can see in there is also an early recovery of the business. And now we see with significantly increasing OEM business that shows there that also some recovery is happening in EMEA. Obviously, the most -- the strongest growth contributions comes from the Americas, so with 30% growth, leading to a 50% overall contribution of the Americas. So there, we can capture on an overall favorable HVAC market and a very strong contribution of our data center vertical. Also Asia Pacific with 21% growth, also very strong and there especially with the focusing on high-end and attractive verticals and growing segments. A bit closer look into the different regions. So in EMEA, we were able to generate CHF 216.3 million net sales in Swiss francs, a growth of 8.2% in Swiss francs or 9.9% in local currencies. As mentioned there, despite some headwinds from the economy, we're able to outperform there in all our key markets. We see some small recovery also in Germany and especially there an increasing OEM business is also helping the fire and smoke business and the Damper Actuator business line. That's also very much still driven by the retrofit (sic) [ RetroFIT+ ] initiative for the retrofit business, where a lot of business is coming from upgrading and renovating business. A bit more view of the Americas. So very strong growth there to CHF 280 million or a growth of 27.7% in Swiss francs or 30.1% in local currency. So very strong contribution from the overall market and an especially strong contribution from the data center business. So in absolute terms, the data center business contributed to about 1/3 of the absolute growth. That also means that 2/3 of the growth was generated outside of the data center business. That just shows also the strong performance of the overall HVAC market and especially our strong performance and some additional market share gains we were able to generate there in the Americas in the first half year. Looking into Asia Pacific, also there, a very strong growth of 19.3% in Swiss francs to CHF 65.3 million or 21.3% growth. So there, all our key markets have contributed significantly, and we're especially proud also from our strong results in China, where we were able to grow more than 20%, and that was mainly coming from our strong focus on the attractive verticals. Also there, data centers across the entire Asia Pacific market, a very strong contributors to the overall growth of the region. A bit more into the breakdown of our different business lines. So 18% growth of Damper Actuators. Certainly the recovery of the OEM business was an important driver aside the general strong performance across all the region with this 18% growth in Damper Actuators. I've mentioned Control Valve, the main contributor of the growth, with 23% growth. There, obviously, a lot came from data centers, but also from the broader market. It is our largest market segment, and we are also getting a more dominant position in there and are able in there to grow significantly ahead of the market growth. Sensors and Meters with 16% growth, also that a very strong performance, and they're also gaining significant traction with now contributing 5% of the overall turnover. If we go a bit further down the profit and loss statements, so an EBIT of CHF 128 million or an EBIT margin of 22.8% despite an adverse FX effect that is impacting our margin. So there, we were able to capture operational leverage and significantly increase there our profitability and increase our margin quality. In line with the higher EBIT margin also, our net income increased significantly to CHF 101.3 million turnover or an earnings per share of CHF 8.23 per share. We had a significant impact of the financial results by the impact of the ForEx losses. So the financial results was there impacted with CHF 10.6 million FX losses. Cash flow, also an extremely strong performance from an operational cash flow perspective. Free cash flow a bit lower than in the first half year. There, 2 effects were mainly contributing to the results. On one hand, there was a significant increase of working capital, mainly from trade receivables in line with the strong sales growth. And we've also had there our capacity expansion program with total investments of CHF 41 million in the first half year. That is going to continue as we're continuing to expand there our capacity and continuing there our capacity expansion program. A short look at our balance sheet. So still there, a very strong balance sheet with an equity ratio of 72%. So net liquidity and cash and cash equivalents obviously reduced with the payment of the dividend in late March and that also impacting there slightly the equity ratio. We also had a significant impact from currency translation adjustments with the devaluation of the U.S. dollars that were impacting there also the equity ratio. With that, I will come now to the outlook. We've upgraded our outlook in April, so we can confirm the outlook at this stage. So we project our sales growth to be 15% to 20% with the current trading more at the upper end of the corridor. So that's on the sales growth side. Obviously, everybody is aware that there are still significant risks from a global economy point of view. It's unclear how the tariff discussion will evolve. But at the moment, we're confident that we will be able to mitigate those effects and generate those sales growth. From a profitability point of view, based on the current exchange rate, we'll be able to generate an EBIT margin ahead of 20%. That's under the assumption that there is no major changing or devaluation of the U.S. dollar going forward and FX rate changes remain at roughly the current stage. So that means we can clearly confirm our upgraded and increased outlook that we've published in April. Now the regional breakdown. So we don't expect a major change of the dynamics in the various regions. So Americas will remain the strongest growing region going forward with a lot of growth coming from the general economic, from the growth in the HVAC market and the continuing strong contribution from the data center. EMEA, roughly a similar performance in the second half year expected with also there strong growth contribution from the OEM business and the retrofit renovation market. Asia Pacific, also there expected continuing strong momentum. They are also very much supported by the data center business. Now overall, the key trends are still in place or accelerating. So urbanization, climate change and digitalization. Those are the key trends that are driving the HVAC business that are supporting the growth of our business. They're continuing and accelerating. And therefore, also from a mid- and long-term perspective, we are very confident we can continue to perform and deliver the growth trajectory. Now before we go into the question and answer, an announcement also from our side. So we're very happy to be able to announce that Stephan Gick will start here at the 1st of September. He will be our Investor Relations Manager, and then we'll be able to answer your question and coordinate the requests from an Investor Relations point of view. Stephan is probably known to most of the participants in the call. He's at the moment in Head of Investor Relations at OC Oerlikon and as a former analyst has their broad know-how and is certainly a great addition to the team. As mentioned, from early September on, you will be able to contact him via the IR contact or directly by phone. So the next key date, so we'll publish our sales results on January 19 and then the full set of results and the annual report on February 23 and the Annual General Assembly is scheduled for March 23. The ex-dividend date is March 25, and then the dividend payment is on March 27. So with that, we are at the end of the presentation. We'll start now with the question round. Just a quick reminder on how that works. Please raise your hand, and then Annabelle will ask you to speak, then please unmute your microphone and switch on the camera, and you can ask your questions, and we will hopefully answer it. So with that, I will hand over to the question-and-answer session.
Annabelle Lehner: Okay. Thank you, Markus. Let's start with the question from Mr. Martin Flueckiger. Please go ahead.
Martin Flueckiger: I'll start off with 2, and then go back into the queue. First one is, if I understood you correctly, Markus, please correct me if I'm wrong, roughly 1/3 of organic growth in the Americas is attributable to the data center business. Now I was wondering how much is that for the group across all 3 regions? So data center contributions to organic sales growth for the group? And also how much did retrofit (sic) [ RetroFIT+ ] initiatives contribute in H1? And what do you think is going to be the end result for the full year 2025? That's my first question. Maybe I'll go one at a time.
Markus Schürch: Yes. Okay. So as mentioned, it's about 1/3 of -- in absolute terms of the U.S. business. It's a bit higher in Asia Pacific, lower in the EMEA. So overall, 1/3 is probably also a good guess for the overall group. Now how that's going to develop? So we expect a high contribution from the data center in the overall year as data center is growing ahead of the rest of the business. So that will be slightly ahead of these results at the end of the year. Now with regards to renovation and retrofit market, so that is -- in EMEA, that's probably more than 50% of the growth as there the main contributions coming from renovation and retrofit, a bit lower in the Americas and in Asia Pacific, but we don't have specific data on the contribution from the retrofit, renovation market.
Martin Flueckiger: Okay. That's helpful. And looking at your top line growth guidance for this year, 15% to 20% versus roughly 20% -- 19%, 20% that was achieved in the first half. Apart from geopolitics and the general economic environment, where do you see the main downside risks? And why do you stick to that lower end of your guidance of 15%?
Markus Schürch: Martin, we haven't stick to the lower end of the guidance, just to precise that. So we said we're rather at the upper end of the range. And there's also -- the comparison base is also important. So last year, we had also in the second half year, a stronger business than the first half year. So also the comparison base there is slightly higher than in the first half year. Therefore, we stick to the guidance of this 15% to 20% with the comments that we will be rather at the upper end of it. Now from a risk perspective, obviously just mentioned, it's mainly the geopolitical risks that arise there, and that may then impact the business going forward.
Annabelle Lehner: Thank you, Mr. Flueckiger. Next, the question comes from Sebastian Vogel.
Sebastian Vogel: I would also ask 3 questions. I would ask them one by one. The first is on the margin guidance. What are sort of the building blocks to get to a group margin on a full year basis, more like to 20% versus to a margin of more like 22%? It would be the first question.
Markus Schürch: Okay. So thanks for the question. I mean, obviously, the main impact is the FX development. And there, obviously, the development of the U.S. dollar. In the first half year, the impact was relatively minor compared to what the dollar is at the current state. So that's due to the fact that we still had a very strong dollar in the first half -- first quarter and then an impact in the second quarter. So there, the development of the U.S. dollar is an important factor. And then the other part, we always have lower margins in the second half year as we're constantly building up costs. And therefore, in the second half year, we have got a higher operational cost base that is impacting the slightly -- the operational results. So from the view of building blocks, obviously, the FX is the buildup of the costs and then also the development of the top line.
Sebastian Vogel: Got it. And next question related a little bit to that one. Is there sort of a rule of thumb like what a 5% change in the U.S. dollar would mean to your margin? Do you have some sort of ballpark figure that you would point us?
Markus Schürch: Look, if the U.S. dollar is devaluating by about 10%, that has an impact of about 150 to 200 basis points from a pure mathematical point of view. There's a bit of an offside in there, but that gears then towards about 150 basis points.
Sebastian Vogel: Got it. And the last question is still related to profit margins. When I look at the segment profit margins on your segment reporting, and there, the U.S. or the Americas business was up like year-over-year by 60 basis points. But given the strong growth that you were alluding to with regard to the data center, I would assume that they would also usually come with better margins. Why that step-up was "so small"?
Markus Schürch: Well, look, I mean, that's -- our segment reporting also is just taking into account the local costs. So we have got a setup with a lot of the IPs being in Switzerland. And therefore, you don't see the overall profitability in the segment reporting.
Annabelle Lehner: Okay. Next, we have Mr. Martin Hüsler.
Martin Hüsler: I have 3 questions as well. Could you remind us on the pricing measures that you undertook in the U.S. in order to compensate for tariff impacts? That's the first question.
Markus Schürch: Thanks for the question. So we've increased our prices by about 7% effective as of -- roughly 1st of July as we always give 3 months' notice period to our customers.
Martin Hüsler: Okay. Do you think you saw a prebuying effect maybe in sales channels due to that?
Markus Schürch: There was certainly a small impact of some customers buying in advance. But bear in mind, most of our sales is project related and therefore, very limited prebuying is possible. On the OEM segment, there's certainly a bit of an effect of that, but that's a minor effect that we will be able to observe there.
Martin Hüsler: And then a question on data center as well and probably, I think, focusing on Slide 9. Can you repeat what you said about the CHF 40 million, CHF 60 million sales impact growing if capacity grows? Was this an impact for BELIMO? Or was it an impact for, let's say, BELIMO content market?
Markus Schürch: That's -- thanks for the question. Very good one. So that's the market for BELIMO content. So about CHF 40 million to CHF 60 million for every gigawatt of electrical power that is installed. That's our market. And then obviously, it's depending on our market share, how much of that is going to us.
Martin Hüsler: Right. And obviously, yes, it looks like a lot of projects underway. However, timing-wise of -- how the pipeline will be executed, difficult to say, I think. But you said for second half, you are optimistic. Do you have like a mid- and long-term view how this growth might develop for the market or for BELIMO in data center?
Markus Schürch: I mean what we can say is certainly that the data center investments are continuing, certainly for the next couple of years, and additional capacity is installed. Now as you mentioned, it's difficult to forecast the exact installation date, but certainly, given on the project pipeline that's continuing to grow over the next couple of years.
Martin Hüsler: Okay. And the very last question from my side. In the past, you were mentioning that maybe a limiting factor for growth is also installers capacity. Now you grow so excellent. What has changed? Or how can you grow at such an extent and probably beating market growth significantly?
Markus Schürch: Well, look, I mean, that is still a limiting factor, and that is especially dominant in the retrofit channel, where there's more work and more planning required to conduct such a project compared to a new build. And obviously, that is limiting. So now with a bit of the economic downturn in the EMEA, there a lot of those capacity was becoming available. And therefore, we were able to grow the retrofit business so nicely in EMEA. But going forward, that's obviously one of the challenges that the entire industry is facing, and they are becoming more efficient. Simplifying installation, simplifying planning process will be the key to also continuing and support the growth of the overall industry.
Annabelle Lehner: Thank you, Mr. Hüsler for your question. Let's continue with Mrs. [indiscernible].
Unidentified Analyst: I've got 2 questions. Just -- the first one is just on mix. So you mentioned in your release that mix benefits have been a big tailwind to margins. Can you provide a little bit more color around how we think about price points for your product mix and how pricing might differ between the retrofit market, the data center market and maybe your legacy business, that would be a little bit helpful. And then could you comment a little bit more around the Asia Pac growth? I think that was a clear positive at least versus our expectations. Maybe a little bit more color on what segments are growing, how you're sort of leaning into that even though in China, the overall construction market is actually quite soft.
Markus Schürch: Okay. So thanks a lot for the question. So going first a bit into the volume, mix contribution. So we've seen about 18% of the growth is coming from volume and mix there. A large portion, about 2/3 is coming from pure mix and about 1/3 -- from pure volume and about 1/3 is coming from mix effect. And they're especially going towards higher-end products and higher-end customers. And there, obviously, the data center business is part of this development as they are buying higher-end products and that certainly also margin positive in this respect. So what we see there is obviously a strong contribution from higher-end products that have got a positive effect on both on sales and also on the margin quality side. The second question was about the Asia Pacific growth. So there -- as you mentioned, so we've significantly outperformed the general construction market, especially in China. And there, the main success factors was really the focusing on the high-end, high- growth segments. And in there, data center is the most obvious one. That's also a very positive and important segments in China that is growing despite the overall market more being flat, but also high-end industrial production like pharmaceutical semiconductor production or also certain transportation investments into logistics. So where still a lot of investments are happening. So that's really a focusing on the high-end segments on the attractive growth segments that enables us there to outperform the overall Asian market. I hope I've covered all your questions.
Annabelle Lehner: Thank you. The next question comes from Fabian Piasta.
Fabian Piasta: Smaller housekeeping. For the beginning, we're looking at CapEx of roughly EUR 35 million half year. Is that some sort of run rate for the remainder of the year? Or are we going to have some fade off? The second one is rather around data centers. So I understand that [ Rubin ] is basically starting to ramp or conversations are starting. Are you already seeing like some demand for data centers with Rubin? Or is that basically just Blackwell for the next 2 years? On Blackwell, what I'm looking at is rather 60% of volumes to be deployed rather in the second half than the first half, not for BELIMO themselves, but for NVIDIA. Is that something that -- how we can think about that? And the third one, more holistically on the semi cycle. I guess everyone is really ramping for the next bigger up cycle. Is that something that you see? Or is that more movements from reshoring in the U.S.?
Markus Schürch: Okay. Thanks for the question. So from a CapEx point of view, you've seen, so we're continuing our capacity expansion program. So we don't see a fade off rather an acceleration of the CapEx requirements with the continuation here of the building and then the start of the projects in the U.S. Now with regards to deployment on data center, we don't comment on individual customers or individual deployments. So we can't answer the question on specific deployments of chips. But what we can say is certainly, as you mentioned, this new technology is being rolled out and compared to initial forecast, I mean, those projects are really large-scale infrastructure projects. They take their time. And therefore, also a lot of -- it's probably more realistic construction period that is required and therefore, rather spread out of the investments a bit further on. And as you mentioned, the buildup is starting, is increasing, and that's also our expectation that the data center deployment is continuing to accelerate and therefore, continuing to provide additional growth potential to us going forward.
Fabian Piasta: And then maybe one last question with regard to capacity. I mean you're looking at EUR 100 million incremental in data center. Does that work with the current capacity setup? And is the -- better asked differently, are there capacity constraints and what would limit your growth? What are the key moving parts here?
Markus Schürch: Look, I mean I think the good thing is that we're not supplying fundamentally different products to the data center segment. So there are variants of existing products. That means we can use the same capacity. And obviously, we're very much aligning our capacity extension with the requirements of the business and are constantly adding their capacity to cope with the demand. So what is the -- and as I mentioned, there's not a sudden change of demand, but a gradual change of demand, and that is something we can cope with, not always without any difficulties or any special efforts. But certainly, that is the highest focus we have, and we ensure that we have got their ample of capacity in line with what the market is demanding.
Annabelle Lehner: Are there any further questions? Yes, Mr. Vogel.
Sebastian Vogel: Yes. A quick follow-up actually, but it's minor one. When you talked about financial results beforehand and you mentioned the headwind from the FX side, I noticed there was also a bit of a more larger interest income position than usual in that regard. Can you shed some light what was driving that? And how sustainable, or what do you expect going forward on that position?
Markus Schürch: Well, we don't expect a major change going forward.
Annabelle Lehner: Ms. [indiscernible], please go ahead.
Unidentified Analyst: Just another follow-up question. Can you just remind us what your footprint is in the U.S. today as it relates to domestic production for consumption in that market? And then in terms of your CapEx profile, at what point will you be self-sufficient for U.S. demand in terms of U.S. production?
Markus Schürch: Okay. Thanks for the questions. I mean, always to mention, when we talk about production, we talk about the final assembly and the customization and logistics operation. So that's over about 13% of the value add of the products. All the rest is done at our suppliers and imported. Now if you look at the capacity of assembly, roughly 30% to 40% of the assembly work is done in the U.S. and 100% of the customizing work is done in the U.S., and that is going to gradually increase. Now when it comes to -- from our supplier base, obviously, that is a worldwide supply chain what we have. And there we are also importing a lot of the parts and components into the U.S. market. We're looking into localizing more into the U.S. markets of the parts and components, not only from a tariff point of view, but also from a supply chain security, from a transportation and logistics point of view. But obviously, that requires a lot of time as those suppliers needs to be built up and not all technologies that we are requiring are readily available in the U.S. or in the U.S. surrounding countries.
Unidentified Analyst: That's very helpful. And then if I can just have one follow-up associated with that. So you mentioned the price increase as of the 1st of July in the U.S. market of 7%. How should we think about the pace of local currency growth, therefore, in the U.S. in the second half? Is this a case where actually local currency growth could be maintained or elevated relative to H1? Obviously, there would be a cost associated with that. So it's not necessarily margin accretive, but just sort of thinking about that cadence of top line growth due to that unusual price increase.
Markus Schürch: Yes. I mean that is certainly -- from a top line perspective, that is beneficial to the growth in the second half year and will gradually now also be becoming effective going forwards on a month-by-month basis. And as you mentioned, obviously, from a cost -- from a margin perspective, there's also the cost element that goes against it.
Annabelle Lehner: Are there any further questions? Yes, Mr. Hüsler.
Martin Hüsler: An add-on question. You didn't mention a Capital Market Day for this September. Isn't there any? And if not, when is the next chance for you to increase your midterm margin target, which I think still stands at 18% to 20% EBIT?
Markus Schürch: No, thanks for the question. No, as you correctly pointed out, we have not plans to conduct a Capital Markets Day this year. So we're still looking when we will then plan the next one, probably in the course of next year. And obviously, we always have opportunities to on the margins going forward.
Annabelle Lehner: Since there are no more questions at this point, so we will close the Q&A session here.
Markus Schürch: Yes. Also so thanks a lot for the great interest this morning, and have a great day.